Operator: Good morning, and thank you for joining Quálitas' Fourth Quarter and Full Year 2025 Earnings Call. I will pass the call over to Jorge Pérez, Quálitas' IRO.
Jorge Pérez: Good morning, and thank you for joining Quálitas Fourth Quarter and Full Year 2025 Earnings Call. I'm Jorge Pérez, Quálitas IRO. Joining me today are Jose Antonio Correa, our Executive President; Bernardo Risoul, our CEO; and Roberto Araujo, our CFO. Before we begin, please note that information discussed on today's call may include forward-looking statements. These statements are based on management's current expectations and are subject to many risks and uncertainties that could cause actual events and results to differ materially from those discussed during today's call. Quálitas undertakes no obligation to publicly update or revise any forward-looking statements whether because of new information, future events or otherwise. With that, I will now turn the call over to Jose Antonio, our Executive President, for his remarks.
Jose Correa Etchegaray: Thank you, Jorge. Good morning, everyone. It's great to be with you once again, and let me begin by wishing you all the very best for the year ahead. 2025 proved to be a year of strong performance alongside notable regulatory changes for Quálitas and for the insurance industry as a whole. As we review our results, we would like to highlight several key developments, and I would like to begin by formally recognizing the commitment of our agents, policyholders and employees, whose efforts enabled a strong full year performance amid a challenging macroeconomic environment. This strong execution continues to be clearly reflected in our industry's positioning and operating metrics. For example, according to the latest AMIS figures, as of September, Quálitas remains the clear market leader with 32.7% market share in written premiums and 35.9% in earned premiums. Furthermore, Quálitas accounted for 45.9% of the industry's total operating income, while posting the best combined ratio among the top 5 companies. I am glad of the 2025 results once everything is considered, which includes the VAT regulatory changes and its effects in P&L for the year. In 2025, our top line grew 9.4% despite pricing pressures and a challenging macroeconomic environment. Profit wise, net income was above MXN 5 billion, and we delivered an ROE above 20%, consistent with our long-term target. Bernardo and Roberto will provide further detail in a few minutes. To provide a broader perspective, in the last 4 years, Quálitas has doubled the size of the business, driven by our differentiated business model. Additionally, in 2025, Quálitas surpassed 6.1 million insured units, adding more than 335,000 units and representing 5.8% increase versus 2024, achieving a 10% compounded annual growth rate over the last 5 years. Looking ahead, we expect 2026 to be a complex operating environment, but Quálitas remains well positioned to excel driven by our disciplined execution towards our 3-pillar strategy. Thus, we are confident Quálitas will continue in delivering another year of solid results and value creation. Aligned with this long-term perspective on our commitment to sustainability, I would like to briefly revisit the leadership transition we announced last quarter, which reflects a well-structured internal succession plan, aimed at strengthening our governance and ensuring strategic and cultural continuity. As I transition from my role as CEO to Executive President, I do so with unshakable confidence in Bernardo Risoul, who has assumed the role of Chief Executive Officer on January 1, 2026. Since joining Quálitas in early 2019 as CFO and later serving as International CEO and Deputy CEO, Bernardo has consistently demonstrated a strong leadership, deep knowledge of our business and a clear alignment with our values and long-term purpose-driven vision. I am very proud of this transition and confident that Bernardo is the right leader for the next phase of Quálitas. From my new role, I look forward to continuing to support him and the management team as we remain focused on creating sustainable value for all stakeholders. And with this in mind, I would like now to hand it over to our new CEO, Bernardo. Please go ahead.
Bernardo Risoul Salas: Thank you, Jose Antonio, and good morning, everyone. It is an honor to be back on these calls under the new role from which I will devote myself to build a strong organization that focuses on creating value to policyholders to agents, investors and our communities. I would like to begin by thanking Jose Antonio for his leadership, guidance and continued support as Executive President of Quálitas, as well as to the Board of Directors for their confidence in me. Having had the opportunity to serve the company in different roles over the past several years, I stepped into this position with a deep understanding of our business, our culture and the responsibility we have to our stakeholders. I am proud to be part of a great team, I am confident in our ability to continue delivering sustainable growth and long-term value, and I am certainly energized to lead the way into an exciting and promising future. With that, let me turn to some high-level notes regarding the current market dynamics, including the latest regulatory topics regarding sales tax or VAT. In terms of Mexico car sales, according to the Association of Auto Distributors, AMDA, new vehicle sales in 2025 were broadly flat, deaccelerating versus prior years. At the same time, the competitive environment became more aggressive with pricing pressure across certain segments as players sought to attract volume and behavior historically linked to healthier combined indexes. Against that backdrop, we see a focus on our underwriting discipline and service execution, prioritizing adequate pricing, portfolio quality and long-term profitability over short-term market share. Related to service, our core differentiator, I am glad to share that in 2025, NPS across all measured variables and service APIs improved versus prior years, being the highest since we started measuring them. This approach is at the heart of why Quálitas continues to deliver consistent performance through different market cycles. Now let me move to another key topic, the VAT legislation that was approved under the 2026 revenue law. We continue to refine the implementation of this new process in close coordination with the authorities, emphasizing that the resolution reached while representing an important financial impact in 2025 and beyond, has provided certainty and clarity, bringing to closure a relevant matter for the whole insurance industry. As part of this resolution, we reflected the full 2025 VAT impact in our fourth quarter and full year results. Despite this, we acknowledge that 2026 will be a transition year in which we will continue to navigate through these changes, digesting effects of policies issued with technical models that had not incorporated this new cost dynamic. Roberto will provide further details on the specific figures later on this call. With this topic behind us and supported by the strength of Quálitas and the dedication of our team, we're moving forward from a position of strength into 2026, which, as mentioned, will be a year of transition for the company. Quálitas is well positioned to overcome the impact of these new roles through the proving agility, adaptability and resilience of our business model. Changing gears into another key strategic matter, I want to highlight the progress made in our U.S. subsidiary where the outlook has improved meaningfully, as we execute changes in our model. Specifically, in addition to domestic program exit back in 2021, as of January 1, we will no longer underwrite commercial cross-border serving now our binational customers through a partnership. As a result of this, our U.S. operation will focus on properly managing the runoff of both programs and continue building a binational PPA winning proposition. We have resized the organization to operate more efficiently. We are all focused on committed to this new path that better aligns with our strength and potential to create value. With that context in mind, let me now share a few highlights of our 2025 full year performance. We delivered record annual written premiums of MXN 75.8 billion, underscoring the strength and consistency of our business. Top line growth was in line with our expectations, reaching 9.4% for the full year, despite significant pricing pressure. We maintain a sustainable loss ratio, resulting in a combined ratio of 94.1% or 90.6% when excluding VAT impact, outperforming our 92% to 94% long-term target. On the investment side, our well-managed portfolio in which we had increased duration led to another year of strong financial income despite interest rates easing faster than expected. The trifecta of strong top line, solid operating and financial results led to a net income of MXN 5.1 billion and 12-month ROE of 20.2%. All this, again, despite the VAT impact. During 2025, Quálitas continued to advance on each of the 3 pillars of our corporate strategy, aimed at strengthening the business and driving sustainable mid- to long-term growth. For example, operating with excellence and maintaining service as the core of our model. In 2025, our call center delivered meaningful improvements, handling 3.3 million calls, while reducing average response time from 6 to 5 seconds, enabling faster assistance when it matters the most at the first moment of truth. These operational gains translating into a 95% customer satisfaction rate above prior year's level, reinforcing our commitment to continuous improvement, efficiency, and best-in-class service. Talking about accelerating our international expansion, we continue to scale our Colombia business, delivering strong results and in less than a year, closing with 1,200 agents, more than 9,500 insured units and 15 offices across the country, all exceeding our initial projections. We expect this growth trajectory to continue into 2026, positioning Colombia as an increasingly important contributor to Quálitas long-term growth strategy. Beyond international markets, we're also deepening our tech capabilities. In 2025, we've made progress in leveraging AI to unlock the value from our data assets and together with our technology subsidiary, DCT, strengthen our value proposition by delivering more targeted solutions and value-added services, including enhancing our risk prevention programs. Delivering the above-mentioned results, seeding the future projects and strengthening our organization in a year that had particularly unprecedented challenges across so many vectors is a true testimony of what Quálitas is able to do. A praise to everyone who made it possible, which is also the source of our optimism towards the future. I recognize 2026 will not be an easy ride. We acknowledge the reality we face, but we'll never surrender to it. We have the capabilities. We have the tools and most importantly, the team and the determination to capture the opportunities that are out there. I remain confident that Quálitas is well set to outstand and continue creating value. And with that, I will hand it over to Roberto for a deeper dive into our quarter and full year financial performance.
Roberto Balderas: Thank you, Bernardo, and good morning, everyone. Our fourth quarter and full year results reflect the strength of our strategy by delivering solid top line growth, disciplined underwriting, a resilient investment portfolio and a combined ratio at the upper end of our long-term target range. Let me walk you through the details. Starting with top line performance. Written premiums grew 6.4% in the quarter and 9.4% for the full year. In Mexico, the traditional segment accounted for approximately 62.7% of total written premiums, decreasing 3.7% in the quarter and improving 2.8% for the full year. From this segment, the individual business decreased 0.2% in the quarter with growth of 7.7% for the full year, while the fleet business decreased 7.2% and 3.2%, respectively. This performance reflects our deliberate pricing downwards adjustments prior VAT resolution, while supporting our long-term profitability, which were partially offset by the continued growth in the insured units as customers continue to choose Quálitas for our differentiated service offering amid pricing pressure. Moving to the financial institution segment. This represented approximately 33% of total written premiums. Growing 29.4% in the quarter and 24.6% for the full year. This strong performance was achieved despite the slowdown in new vehicle sales across the industry. Growth was supported by continued shift in customer preference toward larger vehicles, such as SUVs and pickups, which carried higher average premium, as well as higher mix of multi-annual policies and increased market share with key financial institutions. As reported, our international subsidiaries contributed 5% of the total written premiums full year. Across Latin America, subsidiaries posted a strong growth, with 16.6% in the quarter and 31.2% for the full year. Each quarter, we continue to reach important milestones across our international footprint. In Peru, written premiums grew 28.1% in the quarter and 34.1% for the full year, reaching a market share of 7.5% and continuing to outperform the competition. In Colombia, our newest subsidiary, as Bernardo already highlighted, we exceeded our first year business target objectives. Laying a strong foundation for a scalable and sustainable long-term growth. In the U.S., as expected from our strategy to reshape our business, premiums decreased by 15.2% in 2025. The new strategic partnership for our cross-border business will help us deliver a healthier financial business into our U.S. operation, while providing Quálitas policyholders with the highest standard of service. Overall, insured units closed the quarter at 6.1 million, representing a 5.8% year-over-year volume growth. Back to our financials. Earned premiums increased 8.5% in the quarter and 13.1% for the full year, more in line with our expectations, reflecting the effect of research movement in accordance with a more stable top line growth pace. During the quarter, we constituted reserves of MXN 4.2 billion, basically in line with the same period a year ago. Full year reserves constitution totaled MXN 6.4 billion. As a reminder, technical research constitution is based on approved regulatory models and it speaks to the corresponding premiums growth, consistent with our expectations earned premiums are growing at a faster rate than written premiums being able to capitalize accelerated growth from past periods, as well as the benefit from lower claims costs. Moving down to our costs. Our loss ratio stood at 77% in the quarter, reflecting the full year onetime VAT impact recognized in the period. Excluding this effect, the loss ratio would have been at 63.6%. Still, on a full year basis, the loss ratio closed at 65.7%, improving by 40 basis points year-over-year. highlighting the effectiveness of our cost discipline and a business model, even under recent regulatory changes. Excluding the VAT effect, the loss ratio would have been 62.2% for the year. In Mexico, the loss ratio was 77.8% for the quarter and 64.5% for the full year, up 14.6 percentage points and 10 basis points, respectively. Again, the quarterly increase primarily reflects the full recognition of the 2025 VAT impact. On thefts, full year cases decreased 11% for Quálitas, despite having more insured units becoming an important building block for our claims cost performance. These results follow the historic annual seasonality where the first year of administration, we see reductions of thefts and are coupled with internal efforts on theft provision and recovery. On the latter, Quálitas recovery rate stands at 43.6%, 100 basis points above the rest of the industry and improving versus last year. We continue enhancing our technology tools and coordination with suppliers and authorities to reduce costs and improve our efficiency. Frequency on a 12-month basis stood at 27.4%, an improvement of 80 basis points compared to the prior year. On a quarterly basis, frequency decreased by 30 basis points versus fourth quarter '24, reflecting the continuing improvements in risk prevention and driving behavior. The acquisition ratio stood at 22% in the quarter and 23.1% full year, about 70 basis points and 120 basis points higher than last year, respectively, driven by the stronger growth in the financial institution segment, which carries higher commissions. The operating ratio was 3.6% for the quarter and 5.3% full year, including profit sharing, given the positive performance of our company. As a result, we also had an increase in fees paid to service offices and corporate bonuses that are linked as well to their successful performance during the period, aligning productivity and cost control efficiencies towards the positive results of Quálitas. If we were to exclude employees profit sharing from this provision, that by law must be incorporated, our operating expense ratio would have stood at 4.4% full year. Altogether, this resulted in a combined ratio of 102.6% in the quarter and 94.1% for the full year. Excluding the onetime VAT impact, the normalized combined ratio would have been 89.3% for the quarter and 90.6% for the full year, fully delivering on our commitment and confirming the discipline of our business strategy. On the financial side of the business, comprehensive financial income decreased by 21.3% in the quarter, while growing 3.6% on the full year basis, highlighting how resilient our investment strategy is even amid lower interest rate throughout the year. Our portfolio totaling MXN 53.2 billion remains 86.5% in fixed income with an average duration of 2.3 years and a yield to maturity of 8.4%. For the Mexican subsidiary, the yield stands at 9%. The rest of our portfolio allocated in equity has remained resilient from the market performance during the full year. For example, the S&P 500 stumbled in the first quarter of the year, still, a 16.4% return was observed in 2025, setting a positive tone as markets head into 2026. All our investment assets are classified as available for sale, meaning their unrealized gains or losses are reflected in the balance sheet until realized. Our investment strategy has not had any relevant changes in 2025. We have strived to bring our fixed income duration slightly higher than 2 years as our reference rates remain in the mid- to high single digits in Mexico. Following the guidelines, advisory and a strategy decided by our investment committee as part of our institutionalized corporate coverage. Total comprehensive financial income was MXN 1.2 billion in the quarter, and MXN 5.1 billion full year, delivering 8.1% and 8.7% ROI, respectively. Total unrealized gains are in the magnitude of MXN 2 billion, including FX, considering a 14% peso valuation during the year. These unrealized gains reflect both mark-to-market revaluation of our fixed income portfolio as rates began to ease, as well as gains in equities. When considering all mark-to-market positions, ROI would be 7.2% for the quarter and 10.9% for the year. This reinforces the importance of our available for sale accounting treatment in which valuation effects remain on the balance sheet until realized, but the expanded cushion of our capital base and highlight the embedded value within our portfolio. As interest rates continue their downward trajectory. These gains are likely to remain a relevant driver of our financial results. Approximately 22% of our portfolio is invested in U.S. dollars, given our international presence. For every peso that appreciate or depreciates, the estimated annual impact is around MXN 675 million, service as a natural hedge. Our effective tax rate for the quarter was distorted by the full year VAT impact in the period, while for the full year, the effective tax rate was 31%, in line with our historical trends. Net income closed at a loss of MXN 190 million in the quarter and MXN 5.1 billion net income for the full year with a net margin of 6.7% full year. As anticipated by Bernardo, our 12-month ROE despite VAT impact stands at 20.2%, in line with our long-term target of 20% to 25%. Our regulatory capital stood at MXN 6.1 billion with a solvency margin of MXN 16.1 billion, equivalent to a solvency ratio of 362%. Our 12-month earned premium to capital ratio is 2.7x. We maintain a strong capital position that allow us to invest strategically to continue improving customer service and experience through innovation and technology, while reinforcing our core capabilities. Our approach remains disciplined and selective, always with the goal of delivering long-term sustainable value to our shareholders. Dividend distribution will remain a core element of our capital allocation framework. While the final decisions rest with the AGM from a management perspective, we expect the upcoming dividend to fall within our policy range of 40% to 90%. In summary, we had a solid 2025, and we're very pleased with our underlying business performance. As the industry moves through the claims cycle and competition remains intense, our disciplined execution and resilient operating model continued to set Quálitas apart. Looking ahead, our priorities for 2026 are clear. We will focus on restoring our combined ratio in Mexico to our target ranges through disciplined pricing and cost initiatives, strengthening claims and service capabilities to further differentiate our value proposition, accelerating innovation, digital transformation and new product development as well as reinforcing our culture and organizational discipline to sustain productivity and execution. We're taking the needed decisions to deliver short-term results, but never at the expense of long-term value. We believe these priorities will allow us to further strengthen our competitive position. enhanced profitability and continue creating long-term value for our shareholders, customers and employees. We are excited about what lies ahead and remain fully committed to disciplined execution and sustainable growth. Now before moving to the Q&A session, let me provide you with some color on what we could expect for next year's performance. reiterating that since a few years back, we do not disclose a formal guidance or targets, but rather some overall expectations. Top line growth momentum is expected to be at a slower pace, following the projections the new car sales growth from the Mexican Association of Auto distributors, AMDA, which is forecasted to be between 0.2% and 2%, Written premiums are expected to continue to grow in the high single digits to low double with earned premiums growing a few points ahead. Regarding the loss ratio, we expect results to be in the higher end or slightly above our technical range objective of 62% to 65% and to normalize over the course of the year, as we continue making progress toward absorbing the VAT impact. We do expect first quarter and even half of the year to be above target given the impact of both 2026 claims at a higher cost and those incurred in 2025, not yet paid, with pricing and cost-saving plans to partially mitigate due to its annual nature. The acquisition ratio and operating ratio should continue within its historical levels with no major changes. The above metrics should lead to a combined ratio at the upper end of our long-term target range of 92% to 94% or slightly higher. Finally, we expect our financial performance to be consistent to the results posted in 2025 given our fixed income duration strategy. Discipline in execution and a culture of service excellence remains the foundation of Quálitas. These strengths enable us to navigate a 2025 regulatory changes with clarity and effectiveness. Throughout the year, Quálitas led the industry, both operationally and financially, while consistently delivering best-in-class service to our policyholders and agents. This disciplined execution reinforces the strength of our operating model and our ability to perform across cycles. We invite you to be part of our long-term vision, grounded in the resilience of the company that has demonstrated across multiple cycles and environments over the past 31 years. I am highly optimistic about what lies ahead for Quálitas and our customers. And I'm confident that our focused strategy will continue to drive meaningful value creation for our shareholders in the years to come. And now operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from Tiago Binsfeld from Goldman Sachs.
Tiago Binsfeld: I just wanted to double click on the financial income expectations. You're coming off a pretty good quarter, pretty good year as well, very resilient despite lower rates. When you look forward and your message on consistent year-over-year growth, does that mean that you can deliver the same nominal level of results in 2026? And to get there, would you need to realize any portion of your unrealized gains that you currently have in your balance sheet? Or just the rollover of the fixed income portfolio would get you there?
Bernardo Risoul Salas: Tiago, thank you for your question and always good to have you joining this call. Let me just highlight that from an investment standpoint, our strategy has not changed. We will continue to focus on fixed investments, which should account somewhere in the 80% to 85% and the balance will continue to be invested in equities, mostly ETFs that stand outside of Mexico. With that consideration and recognizing that interest rates have gone down significantly, when we say consistent, it's about consistency in the way we invest, not necessarily the amount we expect. We should expect that absolute returns on the portfolio can be lower than 2025, but we will continue to stay ahead reference rates. And the reason why is, again, that we increased the duration of our portfolio, fixed rate, and it currently stands on around 2.3 years. And that is giving us the benefit of extending the rates, the yield to maturity, which currently stands at 8.4% relative to Mexico set that are now to 7%. So specifically to your question, financial income will likely be below in absolute terms, but will continue to be outstanding or above reference rates.
Operator: Our next question comes from Pablo Ordóñez at GBM.
Pablo Ordóñez Peniche: On your expectations for 2026, I was wondering if you can help us to give us more color on the top line outlook by segment. What do you expect in terms of the traditional business? We saw some deceleration in the quarter. Financial institutions remain solid and banks continue to guide towards mid-teens level growth in terms of that side of the business. And the fleets, how do you see the competitive environment evolving? And the second question related to this is how should this affect the acquisition ratio? Something that surprised us in the quarter is that the acquisition ratio was 22%, and we have seen higher levels in the previous 2 quarters, driven by the higher growth in financial institutions. And finally, it seems that despite 2026 being a transition year, ROE could remain at 20%. Would you agree with this view? That would be my questions.
Bernardo Risoul Salas: Thank you, Pablo. And let me take a piece of your question and then hand it over to Roberto. And I'll give you a broader answer on 2026 expectations. You all know Quálitas, it is never easy to come up with an exact forward-looking figures, so we'll not spend a lot of time on that. But we always have some guidance and color. And especially at current times, we saw high degree of uncertainty across so many angles, tariffs, exchange rate, it is hard to be able to come up with some exact numbers. So please take it as directionally. And as it was broadly said, top line should be in the high single to low double digits. And to your question on how do we break it down? I think individual will continue to be the broad and stronghold of the company. We want to continue building a portfolio of individual policies, which historically have been more resilient, easier to change prices given their annual nature. Now second line of business, which relates to fleets. We had a good year in terms of number of units, but a decrease in terms of premiums because of their positive results on claim cost which ended up being renewed at a lower premium levels. We do expect fleets to come up with a strong growth, but we also expect fleets to be highly influenced by pricing given the nature of its business. And when it comes to financial institutions, we were all flatly surprised by the outcome of this niche. We will continue to grow, but expect it to be on a more moderate pace compared to 2025, mainly driven by average premium price increases and again, following last year's strong expansions. Now let me just take this opportunity to continue building on some perspective of 2026. Our combined indexes, as I said, should be in the upper range or slightly above our ongoing targets and the financial portfolio we've already addressed. ROEs could be a 20% or slightly below. And we also want to highlight that the behavior on a quarterly basis will come up different to prior years. First quarter combined indexes will be stressed by the impact of the VAT on new claims in addition to the payments made of prior claims, specifically last quarter of 2025. And all that with the impact of pricing and savings that are already implemented but will take time to fully reflect. Do we have a shot of ROEs or at 20%? We certainly do. I think that will continue to be our goal. And there's a lot of things that can go better. Industry recovery can go faster. Industrial investment can pick up. It all depends on GDP and our ability as a country to come up with new terms on the U.S. agreements. The peso strength that has surprised us is expected to have a benefit of spare part cost, but we are still yet to see on how fast that happens. It could be also a result of responsible competitor behavior, the performance on non-Mexico auto subsidiaries or faster benefit of our already implemented saving plans. So there's a lot of things in the pipeline that can lead us to have another year of strong performance, top and bottom line, but I think it's fair to recognize that we're dealing with unprecedented challenges, probably the biggest one we have had as an industry. And Quálitas once again is set to prove its agility and resilience. I did give you a longer perspective on your question, but I think it was worth to use this opportunity to give you a broader perspective on the expectation and the things that can go better to once again outstand. Roberto, why don't you take the second piece on the question on the acquisition ratio expectations.
Roberto Balderas: Yes. Thank you, Pablo. Thank you for joining us. On particularly on 2025, you're right. I think the big driver of the increase on acquisition cost is mainly by mix. As Bernardo alluded, we are increasing double digits on the financial institutions. So that has a higher commission rate. And when we think about the expectations for 2026, as long as that mix continues and depending on how that mix that Bernardo just mentioned, that will continue to be stable or actually improving the mix depending on how it comes up in 2026. So I hope that answers your question.
Operator: Our next question comes from Guilherme Grespan at JPMorgan.
Guilherme Grespan: My question is also a follow-up on financial results and investments. Just want to confirm, you have roughly 15% of the portfolio in equities. I want to confirm if it's basically TF on S&P on U.S. equities. And you also have international bonds, I think, another 15%. I want to confirm if it's U.S. or ex U.S. And then the main point of the question is actually on the balance sheet. Just want to confirm a few as well. How you book the USD changes. There is a -- there was a big movement on translation effect in the equity. I imagine this is related to the FX conversion of those investments, but I'm not sure if it's booked on this translation line or if it's on the valuation purposes of the investments? So just the moving parts on the FX and how this is going to impact either the P&L or balance sheet on the financial results side.
Bernardo Risoul Salas: Hello Guilherme. Let me take the first question, the first part of your question regarding the investment portfolio. Yes, it's around 15% on equities. That includes both ETFs that are U.S. mostly based, but they do have some participation of global equities. We can share later on the split between global equities, ETFs and U.S.-based ETFs. I think that part of the strategy that has worked, and it was lined up that way from the investment committee is to have a more diversified portfolio, and that is one of the reasons why we have decided not to fully have placed the ETFs on U.S. business only. That portion of the 15% includes as well FIBRA, which is the only thing that we have when it comes to Mexico exposure equities. Now we do not expect to increase significantly that. We've always moved it between the 15% to 20% equities. So depending on how the market is perceived, we could see some shifts, but not necessarily intentionally to drive up that percentage. Roberto, do you want to take up the question on FX?
Roberto Balderas: On the translation effect, you're right, it has to do with the U.S. and what we see is in the [indiscernible] effect on quick. It also has been reflected on that portion. So we can actually go offline and take it a little bit deeper when we have some time to go through the details. But yes, it has to do with what you have mentioned.
Bernardo Risoul Salas: Just to give you the exact 2/3 of our ETFs are global ETFs and 1/3 is directly S&P 500.
Operator: Our next question comes from Thiago Paura. Please state your company name and then ask your question.
Thiago Paura Mascarenhas: Just a few ones on my side, if I may. And the first one is a bit of a follow-up on the -- on some of the latest questions. Just to clarify, is there still any VAT impact from 2025 to be booked in 2026? Because I'm just trying to understand why in your soft guidance, you expect the combined ratio for this year to be at or even above the top end of the range. And in this case, potentially higher than the combined ratio of 2025 despite the repricing initiatives planned for this year. Because in theory, the way I see is that 2025 absorb all full year cost pressure in Q4 with somewhat limited price pass-through and you still was able to deliver a 94% combined ratio. So I tend to believe that 2026 should be structurally better, right? Because there is some kind of reprice initiatives that goes throughout the year just to try to be more clear here, understanding these dynamics for this year to come. And also to assess if you plan to do any other initiatives on top of repricing to help to offset this higher cost pressure going forward?
Jose Correa Etchegaray: Thank you, Thiago. This is Jose Antonio. Just let me -- before Roberto answers, just let me tell you that, yes, we have taken the full impact of the 2025 VAT as indicated by the regulation. But there's something that you need to acknowledge, and that is the way how pricing is really built over a period of time. It is not immediate. I mean, we immediately change whatever we have to change in terms of tariffs, which includes inflation and many variables, including part of the VAT. But some of the underwriting that had already taken place in 2025, which will be effective in 2026, will not be able to get a benefit of the increases in price. It will gradually be that. So we expect that in the first half of the year, it will probably will be a little bit higher the amount of the all the combined index and the loss ratio because of that. It takes time. As you know, a lot of our portfolio includes for all the individual businesses is really on a year. So everything that has already been written in 2025 that will have an impact in 2026. But that's why there's going to be a delay impact, which is naturally in our business on the price increases that we are having. This is important to say. Clearly, the VAT, let me tell you also that this VAT thing, which is an industry-wide stock, really provides clarity and certainty on some topic that for the whole industry and in Quálitas in particular, potentially had a significant impact. So that's already solved. Now for the second part of your question, let me Roberto answer that part, Thiago.
Roberto Balderas: Thiago, thanks for the question. Just to complement on what Jose Antonio was mentioning, I think there are 2 phases, right? So what we did recognize in 2025 is what it was determined and paid during 2025 for those claims. So those -- that credited that should not be credited, that's the recognition in 2025. For those that have occurred in 2025, but have not been finalized, determined or paid, that's the impact that Jose Antonio was alluding in 2026. So that -- there is a still a second piece of that portion of it. On top of that, when you think about how we are accruing and reserving for those -- given that, that VAT is no longer credited, there is an additional portion that it will be impact on the new claims that are originating on 2026. So that double hit is what we are going to be experiencing particularly on the early quarters of the year. And as we are taking actions, that will be starting to mitigate throughout the year of the -- given the annual nature of our policies. So that's going to be phasing out through the year. That's why early in 2026, we should expect to be even slightly higher or higher than our targets in loss ratios, but over the course of the year, we'll be getting back and closer to our ranges. That's a little bit more details on how we are thinking about it. And again, think about the -- also the multi-annual business, right? So given the rates and the tariffs that were prior to the VAT regulation that will stick. So it will take some time to digest that. Now that's the reality of our business. The good news, I'm going back to what we've been communicating is that we now have a clarity and confidence on how the rules are being established. And now we already had a very clear strategy on how to go about different tactics or strategies to mitigate those. And some of those examples is by leveraging, obviously, certainly pricing on average premium pricing. But there are other components to that equation. We've been mentioning our vertical integration capabilities. Some of those efficiencies, obviously, the work that we continuously do on risk prevention programs, that's -- all of those will help us on really absorbing that and not necessarily passing that through to our customers, but rather to really digesting and ensuring that we have a long sustainable business over time.
Bernardo Risoul Salas: And Thiago, we have a long list. Just last Monday, we had a full-day session multifunctionally to review the priorities for the year, to review all the projects that would help us offset the cost impact. But one thing that is important is that we will not jeopardize service experience and value creation for short-term savings. We're managing this business for the long run. We've done so over the past 30 years, and we will continue to do so. So we need to ensure that the benefits of any decision outweighs the service impact.
Operator: Our next question comes from Carlos Gomez-Lopez at HSBC.
Carlos Gomez-Lopez: The first one refers to pricing. And again, we go back to the same thing. If we understand correctly, you have to take on the cost of the VAT. That is what is making your claims ratio higher and you do not expect to compensate for that. Initially, you expect to do it over the year. We understand that. But in addition to that, what is the competitive environment right now? I mean, in the past, you have said that in some lines, you are starting to see pricing go down. After this agreement with VAT, are you still seeing competition? Or has that eased? And then slightly -- taxes, could you confirm expected tax rate, I think you said 30%, 31%. Finally, you are talking about an ROE that could be up to 20%. When I look at the consensus right now, they are close to MXN 6.5 billion. So probably that sounds too high compared to what you are saying.
Roberto Balderas: Carlos. Let me take a few of those comments and questions. So on the competitive environment, I think what we have 2 realities, but that doesn't necessarily going to be changing in the future. So one is prior VAT and then the post-VAT. What we've been communicating over the course of 2025 is that we did experience pricing pressures, particularly on the fleet segments, and as well as we're starting to see that in the individual business. Now that the new regulation kicked in, when we've been discussing and goes back to your first point on pricing is the dynamic will start moving on a different dynamic just because of everything that we've been talking on the loss ratio dynamics on the VAT credit. So what we should experience is a more intense competition, but in a higher level. Hopefully, that will bring a little bit of the average premium going up, but still, there are going to be some competition depending on how all the different players see their efficiencies and being able to compete for the customers and the policies. On the taxes front, we did close the year on 31%. We do expect for 2026 to start going slightly lower than that tax rate, that's on a historical levels. Just because we will be able to be -- able to apply many of those provisions, and that will hopefully get those deductibility on the corporate tax. So that should be a good expectation to 2026. With that, let me get back to Jose Antonio so that he can complement as well.
Jose Correa Etchegaray: Well, thank you, Carlos. Let me tell you first regarding the competitive environment. As Roberto indicated, it continues to be tough. Now let me tell you that we are now entering into -- it has been accelerated. This VAT situation has accelerated the change in the cycle of the insurance cycle. As we have had increasingly better loss ratios and combined ratios for -- not only for Quálitas who was leading, but for the industry as a whole. The VAT changes that and now it changes and goes back to the standard cycle that we have had 3 or 4 cycles over the past 15 or 16 years. So this will change, and we will need to see what happens with the reactions of all the competition in here. But clearly, it is a change in that. Now regarding the ROE, it is important, and Bernardo also mentioned that, that we don't manage the company on a quarter-by-quarter basis. We manage for -- and we do the things for the long-term. And that's because we want to create sustainable value, and that is on a long-term basis. So while we might have some changes. And as Roberto indicated, in the first half of the year, we will be pressured in terms of the loss ratio and consequently into the combined ratio. Clearly, in the end, that will have an impact into the ROE for the year. But still, we aim to get into this 20%, which we have been able to achieve in the past. And we don't forecast exactly what it's going to be, but we are going to be close probably, and we are aiming to do that. And it will depend on how fast we get into some of the savings and the structural costs that we are taking to compensate also for this VAT impact. I hope Carlos, this answers your question.
Bernardo Risoul Salas: And to wrap it up, Carlos, ROE continues and will continue to be a key performance metric for management. We're not walking away from our long-term 20% plus on ROE desirable target. But again, we recognize that 2026 will be another transition year. So even if we're not there at the 20%, we should be close to it. And long-term, we will strive for it.
Carlos Gomez-Lopez: That's very clear. Now related to the ROE, if I may add, your capital -- your solvency ratio declined slightly to 350. Should we expect a reversal to the 400 that you have posted in the past?
Jose Correa Etchegaray: Carlos, obviously, the reduction of that for MXN 401 million to MXN 362 million has to do with the recognition of the VAT liability. So that actually, I just want to mention that, that continues to be a strong capital structure that just highlights what we are talking about. But we do believe, depending on the results of how those movements are and also how the dividend policy and the final dividend comes in the next year, that will play out and how the margin will remain.
Operator: We have time for one last question today. We will hand it over to Ernesto Gabilondo at Bank of America.
Ernesto María Gabilondo Márquez: My first question will be on your policy pricing strategy. So during the quarter, we saw year-over-year contractions in the traditional business and fleets. Also, we have been going into different auto agencies, and there are a lot of promotions, discounts, reflecting what you were saying from the AMDA expectations that there will be low activity in the sale of new cars. And on top of that, last December, the Mexican government increased tariffs into autos and auto parts. So this, together with the VAT impact would have an impact in the demand of premiums. And I remember that around 20% of your total policies are multiannual. So I just wanted to like to pick up your brains and understand how do you want to mitigate those headwinds? Of course, one will come from pricing. How much pricing can we expect or higher prices in 2026 to mitigate that impact? And also, what will be the strategy to return the traditional and fleet businesses into year-over-year growth within a context in which we are seeing probably more competition? And also, if you can give us like some color if this competition could come from large players or small players willing to sacrifice profitability to take market share? And then just a last question on your guidance. So we put everything together, your double-digit earned premium, a combined ratio of 92%, 94% and consistent financial results. This is putting us into practically no recurring earnings growth considering that the VAT of 2025 was only onetime. So I just wanted to double check if that is a reasonable assumption.
Bernardo Risoul Salas: I'll take out the first related to pricing. And let me just stand a little bit back and say everything starts with our combined ratio target, which aims to be at the 92% to 94% -- from there on, we look at saving opportunities. Obviously, we also look at pricing. And in terms of policy pricing, what we are expecting, and we have already taken some steps regarding increases is to rate increase around 6% to 8%. Now that will -- that is going to come on top of decreases that we have made during 2025 as a result of combined ratio performance. Therefore, if you're renewing as an individual policyholder, your policy in the next months, your net increase could be close to local inflation, let's say, anywhere between 3% and 5% -- now pricing, that's an average, but it depends on multifactors, as we have said in the past, and that continues to be one of the strongholds of Quálitas -- that's the way we do prices because we incorporate not only car value and type of usage, ZIP codes and several other factors that will come into the pricing decision. But I think just to move along, pricing will continue to be a key item on our commitment to deliver that combined ratio between 92% and 94%, but not as a stand-alone item.
Jose Correa Etchegaray: And we will take the lead on that one as we have always done.
Roberto Balderas: Ernesto, on how the competition is playing in terms of large business or key players, I would probably say, again, it goes back to in a case-by-case basis, right? So the way that we play and the way that we go through on pricing, we looked at every fleet, every case, whether it's small, medium or large, and we will go and look at their profitability, and we're targeting on our combined ratio accordingly. That's our underwriting discipline. Certainly, the big businesses and the large players will go after those, and we have seen this in 2025. And we will continue to see this in 2026. So that will continue to be a rule of the game. And what we have seen is where we see some space and align to our long-term profitability, we will certainly address whether we need to increase, maintain or decrease our pricing. On the second piece of your -- or the last piece of your question on the guidance, yes, I think that is a fair assumption to continue on keeping it at that same level given the transition that we've been talking about and looking at how 2026, but more importantly, how the long-term of those earnings will come back as we go through this transition and absorb the VAT regulation in 2026.
Ernesto María Gabilondo Márquez: No, that's very helpful. Just a follow-up in terms of the pricing. You were saying it could be between already 6% to 8%, but in the new renewals, it could be around inflation, 3% to 5%. But what about, for example, the increase in tariffs that happened in December? Is that also already incorporated in the higher pricing that you're expecting for the year? Or is something that you will be evaluating depending on how you see the picture in the first, second quarter of this year?
Bernardo Risoul Salas: Those effects are being considered together with some other, which include exchange rate. So I think when you put everything together, the 6% to 8%, which we have already taken should help us navigate through most of the impact. Again, only when you're talking about the pricing.
Operator: This concludes today's conference call. Thank you all for participating, and have a pleasant day.